Operator: Good day and welcome to Star Group’s Fiscal 2020 First Quarter Results Conference Call and Webcast. All participants will be in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Chris Witty, Investor Relations Advisor. Please go ahead.
Chris Witty: Thank you and good morning. With me on the call today are Jeff Woosnam, Chief Executive Officer; and Rich Ambury, Chief Financial Officer. I would now like to provide a brief safe harbor statement. This conference call may include forward-looking statements that represent the company’s expectations and beliefs concerning future events that involve risks and uncertainties, and may cause the company’s actual performance to be materially different from the performance indicated or implied by such statements. All statements other than statements of historical facts included in this conference call are forward-looking statements. Although the company believes that the expectations reflected in such forward-looking statements are reasonable, it can give no assurance that such expectations will prove to have been correct. Important factors that could cause actual results to differ materially from the company’s expectations are disclosed in this conference call and in the company’s Annual Report and Form 10-K for the fiscal year ended September 30, 2019. All subsequent written and oral forward-looking statements attributable to the company or persons acting on its behalf are expressly qualified in their entirety by the cautionary statements. Unless otherwise required by law, the company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise after the date of this conference call. I’d now like to turn the call over to Jeff Woosnam. Jeff?
Jeff Woosnam: Thanks, Chris, and good morning, everyone. The first quarter of fiscal 2020 brought with its some interesting weather trends, challenges and opportunities. While October was much warmer than normal, temperatures in November and December were cold enough by contrast to necessitate a charge against our weather hedge contract. Weather for the entire quarter was warmer than fiscal 2019 due to October which resulted in somewhat lower demand. Against this backdrop, we continued to focus on reducing unnecessary overhead expenses, increasing operating efficiency and improving customer retention. As you may recall, we began to see evidence at these efforts taking hold at the end of fiscal 2019 and I’m pleased that they are even more prominently reflected in our first quarter 2020 results. We reduced operating expenses year-over-year by some $12.3 million in the base business, a significant accomplishment for the company. This combined with our continued investment in improving the customer experience are certainly encouraging steps towards our goal of strengthening the Star’s competitive position in the marketplace, while our net customer growth for the quarter was very similar the last year, we experienced approximately 9% of fewer customer losses and therefore had lower churn in the business. Overall, I’m extremely proud of the many steps we’ve taken over the past year to improve service and reduce cost. We completed one small acquisition during the quarter which brought with it roughly 1 million gallons of annualized volume and we’re currently evaluating several other potential attractive transactions. While January ended up considerably warmer than last year and further tested our ability to control expenses, we remain prepared for normal fluctuating weather patterns as we proceed through the rest of the heating season. With that I’ll turn the call over to Rich to provide additional comments on the quarter and full year results. Rich?
Rich Ambury: Thanks Jeff and good morning, everyone. For the quarter, our home heating oil and propane volume decreased by 6 million gallons or 5% to 107 million gallons as additional volume provided from acquisitions was more than offset by the impact of warmer weather, net customer attrition and other factors. Temperatures for the fiscal 2020 first quarter were 2% warmer than the first quarter of fiscal 2019 and as well as 2% warmer than normal. Our product gross profit decreased by $7.5 million or 5% to $145 million as a half of set increase in home heating oil and propane margins was more than offset by decrease in home heating oil and propane volume. With regard to our per gallon margins, note that market conditions experienced in the three months ending December 31, 2018 created an opportunity for margin expansion and contributed to an increase in home heating oil and propane margins of $0.13 per gallon versus the prior year. Similar market conditions did not exist during the three months ending December 31, 2019 which tempered our per gallon margin expansion. Delivery, branch and G&A in aggregate decreased by $7 million or 7% to $103 million compared to $111 million last year as additional cost from acquisitions of $4 million and an increase in amount due under our weather hedge contract of $1 million was more than offset by $12 million or 11% decrease in expense within the base business. The sizable reduction in cost reflected a $3 million or 9% decline in direct delivery cost due to lower volume. A $3 million decrease in expense related to our concierge level service program and other reductions in operating expense totaling $6 million or 6% as we continue to improve the company’s operating efficiency. During the first fiscal quarter, we recorded $6 million non-cash credit relating to the change in the fair value of derivative instruments. By comparison in the first quarter of fiscal 2019, we recorded $31 million non-cash charge again due to the change in market conditions. The overall year-over-year impact was a positive $37 million. Net income did increase by $25 million to $28 million again largely due to the after tax impact of $37 million favorable change in the fair value of derivative instruments. Adjusted EBITDA decreased by $200,000 to $45 million while acquisitions provided $2.8 million of adjusted EBITDA. Adjusted EBITDA in the base business decreased by $2.6 million as the impact of lower volume and an increase in the amount due under our weather hedge program of $1 million was more than offset by a slight increase in home heating oil and propane per gallon margins and the $12 million of lower operating expenses. And with that, I’d like to turn the call back over to Jeff.
Jeff Woosnam: Thanks Rich. At this time we’re pleased to address any questions you may have. Operator, please open the phone lines for questions.
Operator: [Operator Instructions] our first question comes from Michael Pradine [ph] from 10K Capital. Please go ahead.
Unidentified Participant: I know this is kind of cliché but congratulations on a terrific quarter. The cost management was really outstanding.
Rich Ambury: Thanks.
Jeff Woosnam: Thanks Michael.
Unidentified Participant: Just a couple of questions this morning. One - I noticed the unit repurchased in January was little bit lower than the unit repurchases you were making in the fourth calendar quarter so I’m wondering if there’s any change to the repurchase program and also where you currently stand in terms of your repurchase authorization and whether you’ll be seeking increase in the authorization.
Rich Ambury: Sure in the fourth quarter there was a private purchase.
Unidentified Participant: Right.
Rich Ambury: And that was filed, so that was entered into the fourth quarter number. I think once you carve that out, we’re probably running the same per day unit repurchases that we’re making under the program. We’ll probably run out of the unit repurchase – what we have left, we probably have less than 100,000 units and we can only make a change in the open period which would probably be coming up in a few days and we’ll have to discuss that with the board to see, what they want to as far as repurchasing units going forward.
Unidentified Participant: Okay, terrific. So in other words, there’s no change than the secret formula or anything like that.
Rich Ambury: Yes, no change in the secret sauce or the formula.
Unidentified Participant: Okay, great. And just other quick questions. One on the customer attrition, this quarter was flat year-over-year although December quarter isn’t significant quarter for attrition. Just wondering what your outlook going forward there is in, whether we can expect to see some improvements going forward. And then the other question I had was on the acquisition pipeline how it’s looking at the stage. If you’re seeing any larger than normal deals and with that, I’ll pass it over to someone else, thanks.
Jeff Woosnam: Yes, Michael I would say – we are and remain 100% focused on improving our net attrition results. There’s no question about that and if it really has driven so many - the decisions that we’ve made as a business. Overall our net position for the first quarter wasn’t exactly what we hoped it to be, but we’ve been very encouraged by a reduction in customer losses so an improvement in retention of customers, reduction in customer losses which therefore means a reduction in churn in the business and there’s a number of leading indicators that we look at internally customer satisfaction index as in other things that point to the fact that the steps that we’re taking and the strategy that we’re employing are the right ones and will ultimately result in an improved result overall.
Unidentified Participant: Okay terrific and outlook on the acquisition front.
Jeff Woosnam: I would say that the level of activity is pretty typical for this time of year as I mentioned in my opening comments. We closed on one smaller transaction in the prior quarter. We’ve got several different opportunities in the pipeline right now that we’ve been working on and this time of year in my experience things can slow down little bit from a program standpoint just because potential sellers are busy running their business and during the heating season, again we’re evaluating several attractive transactions and hopefully can bring this to fruition.
Unidentified Participant: Okay, terrific. Keep up the good work.
Jeff Woosnam: Thank you.
Operator: [Operator Instructions] there are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Jeffrey Woosnam for any closing remarks.
Jeff Woosnam: Well thank you for taking the time to join us today in your ongoing interest in Star Group we look forward to sharing our 2020 fiscal second quarter results with you in May. Thanks everybody.
Operator: This concludes the conference. Thank you for attending today’s presentation. You may now disconnect.